Operator: Good day, and welcome to the Philip Morris International First Quarter 2016 Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Philip Morris International management and the question-and-answer session. I will now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nicholas M. Rolli - VP-Investor Relations & Financial Communications: Welcome, and thank you for joining us. Earlier today, we issued a press release containing detailed information on our 2016 first quarter results. You may access the release on our website at www.pmi.com or the PMI Investor Relations app. During our call today, we will be talking about results for the first quarter of 2016 and comparing them to the same period in 2015, unless otherwise stated. A glossary of terms, adjustments and other calculations, as well as reconciliations to U.S. GAAP measures are at the end of today's webcast slides, which are posted on our website. Reduced-Risk Products or RRPs is the term we use to refer to products with the potential to reduce individual risk and population harm in comparison to smoking cigarettes. Today's remarks contain forward-looking statements and projections of future results. I direct your attention to the forward-looking and cautionary statements disclosure in today's presentation and press release for a review of the various factors that could cause actual results to differ materially from projections or forward-looking statements. It's now my pleasure to introduce Jacek Olczak, our Chief Financial Officer. Jacek?
Jacek Olczak - Chief Financial Officer: Thank you, Nick, and welcome, ladies and gentlemen. As announced this morning, we are raising our 2016 reported diluted earnings per share guidance by $0.15 to a range of $4.40 to $4.50 at the prevailing exchange rates. The revision is driven solely by currency. Our guidance therefore now includes $0.45 of unfavorable currency that continues to represent the growth rate, excluding currency, of approximately 10% to 12% compared to our adjusted diluted EPS of $4.42 in 2015. We expect our currency-neutral adjusted diluted EPS growth in 2016 to be skewed towards the second half of the year and the fourth quarter in particular. The $0.15 moderations in the currency impact on our guidance reflects the depreciations of the U.S. dollar against the number of our key currencies since we last provided guidance in mid-February. As shown on this slide, the Indonesian rupiah, Japanese yen and Russian ruble were the principle drivers of the variance. Let me now review our first quarter results, which, as expected, were heavily impacted by a difficult comparison versus our exceptionally strong first quarter results in 2015 that masked otherwise solid performance. Organic cigarette volume in the quarter declined by 1.4% due mainly to the Asia region, principally Indonesia, Pakistan and the Philippines, and partially offset by the EU and Latin America and Canada regions, as well as the favorable estimated impact of the leap year. As a reminder, our organic cigarette volume grew by 1.4% in the first quarter of 2015. Our cigarette volume benefited from the strong performance of our international brands, with the top seven, including premium-priced Marlboro and above-premium Parliament, all growing. For the full year, we continue to forecast a decline in our organic cigarette volume of 1% to 1.5%. This compares favorably to our forecast of a cigarette industry volume decline, excluding China and the U.S., of 2% to 2.5%. On a currency-neutral basis, we recorded modest net revenue and adjusted diluted EPS growth in the quarter, while adjusted OCI declined slightly. As seen on this slide, our final share results faced particularly difficult comparisons in the quarter. The comparisons were challenging across all regions and even Asia, following the first quarter 2015 gain in Korea related to inventories built ahead of the January 2015 excise tax increase. We recorded the pricing variance of $272 million in the first quarter driven by the EU, EEMA and Latin America and Canada regions. Importantly, our pricing variance was slightly positive in the Asia region despite the unfavorable comparison related to the gain in Korea last year. During the quarter, we announced or implemented price increases in a number of markets, notably Argentina, Germany, Indonesia and Russia, as well as others shown on this slide. For the full year, we continue to anticipate the pricing variance of around 6% of our 2015 net revenues. Our cigarette market share, excluding China and the U.S., declined slightly in the first quarter due mainly to Asia region, notably Indonesia and Japan, partly offset by the EU and Latin America and Canada regions. Marlboro's market share was stable on the same basis with strong growth in the Asia, EU and LA&C regions, offset by a decline in the EEMA region due largely to North Africa. Let me now discuss our regional results beginning with the EU, where first quarter cigarette industry volume increased by 0.6%. The strong industry performance continues to reflect the improving economies, notably in the Southern Europe, a decline in illicit trade, less out-switching for the fine-cut category and a lower prevalence of E-Vapor product. We also attribute some of the growth to the estimated favorable impact of immigration in select geographies. Our positive momentum continued in the quarter, with regional cigarette share increasing by 0.6 points to 38.7%. Marlboro, L&M and Chesterfield, the top three selling industry cigarette brands in the region, all grew share in the quarter, underscoring the broad strength of our portfolio. We are progressing well with the commercialization of iQOS in the region. In Switzerland, iQOS is currently present in six key cities, representing approximately one-third of total cigarette industry volume. During the last week of March, we reached a HeatStick offtake share of 0.8% in the launch area, the highest level since the launch last August. At 1.9% market share, HeatStick offtake share was even higher in the French-speaking part of the launch area where we have concentrated the majority of our support thus far. In Italy, HeatStick's offtake share has been stable at around 0.2% in the expansions area covering Bologna, Milan, Modena, Rome and Turin. We recently launched the latest version of the iQOS device, and are refocusing our marketing approach and touch points to increase the effectiveness of our engagement. This includes the rollout of iQOS embassies, which leveraged the iQOS flagship store concept that we have successfully deployed in Japan. Turning to the EEMA region, we faced particularly difficult comparisons this year following currency-neutral net revenue and adjusted OCI growth of 14.1% and 24.3%, respectively, in the first quarter of 2015. We also faced challenges in some of our key EEMA markets. In Ukraine, the overall economic and geopolitical uncertainty contributed to a very competitive pricing environment, which began in late 2015 and is now starting to improve. In Algeria, sizable excess tax-driven retail price increases over the past year of approximately 21%, on an industry weighted average basis, put pressure on Marlboro's share, though this was partly offset by the strong performance of L&M. We expect better performance in this market as the year unfolds and remain confident in the outlook for the region this year. In Russia, cigarette industry volume declined by 6% in the quarter, a resilient performance given the significant retail price increases over the past year of approximately 23% on an industry weighted average basis. For the full year, we maintained our forecast for a cigarette industry volume decline of around 9%. Our market share declined by 0.2 points to 27.8% in the February quarter-to-date period, which we attribute mainly to price increases for some of our product that reached adult smokers sooner than competitors' price increases. The down trading in our portfolio from the medium to lower price segment was consistent with the broader industry trend. Our strong pricing resulted in another quarter of solid, double-digit, currency-neutral OCI growth, and we are targeting similar growth for the full year on the same basis. In Turkey, cigarette industry volume grew by 11.7% in the first quarter as the industry continued to benefit from a significant reduction in illicit trade. Our February quarter-to-date market share increased by 0.6 points to 43.9%, driven by the continued strength of Marlboro, which grew by 1.1 points to 10%. Currency-neutral OCI growth in the quarter was exceptional and benefited from our January price increases, as well as higher cigarette volume driven by the growth in both industry volume and market share. Moving to the Asia region, our financial results were similarly impacted by a difficult comparison due principally to the gain in Korea that I mentioned earlier. Beyond this distortion, there were a number of positive developments in the quarter, notably Marlboro's regional cigarette market share and volume increased by 0.5 points and 5.1%, respectively. In Australia, the super low-priced segment is showing signs of stabilization and March price increases for cigarette brands in this segment were above the excise tax pass-on. Importantly, we grew our share in the quarter by 1.1 points to 36.4%, driven by Bond Street and Choice. In the Philippines, price cuts were stable throughout the quarter and represented a significant narrowing compared to the first quarter of 2015. The narrowed price gap between Marlboro and lower priced brands continued to support our strong overall share, which increased by 1.4 points to 73.6%. Let me now cover some specific Asia region markets in more detail. In Indonesia, cigarette industry volume declined by 5.9% in the first quarter due mainly to the soft economy and the impact of industry weighted average price increases of around 11% in the quarter, which exceeded the inflation rate of around 4%. The decline also reflects the difficult comparison versus the first quarter of 2015, in which cigarette industry volume grew by 6%. Our market share declined by 1.3 points to 34.1% due primarily to share loss in the machine-made kretek segment, reflecting the growth of competitors' plus-4 cigarette offers, value propositions with four extra cigarettes per pack. The decline was partly offset by our favorable performance in the hand-rolled kretek segment, where we solidified our leadership positions and grew segment share. We expect our share loss in the quarter to be a temporary phenomenon, and we have a number of initiatives in place to restore growth, particularly in the machine-made kretek segment. For the full year, we forecast a cigarette industry volume decline of 1% to 2%, and are targeting double-digit currency neutral OCI growth. In Japan, cigarette industry volume increased by 2.3% in the first quarter, driven by estimated retail trade inventory movement and adult smoker purchases ahead of price increases for select competitors' brands effective April 1. Excluding this favorable inventory movement, we estimate that cigarette industry volume was essentially flat. Our cigarette market share declined by 1.6 points due to inventory movement, competitors' offerings in the differentiated menthol taste segment, and cannibalization by HeatStick. We continue to invest behind the pipeline of innovations for our cigarette brand portfolio, including the national rollout of Parliament Crystal Blast in March. As you may be aware, last week we submitted an application to the Ministry of Finance for approval to increase the prices of nearly all Lark variants and some Parliament variants by 7 yen per pack effective August 1 – by 10 yen per pack effective August 1. These variants represent approximately 45% of our cigarette volume in Japan. We are very excited by the performance of iQOS in Japan. As seen on this chart, weekly HeatStick offtake share increased steadily through the end of the first quarter reaching 2.4% in the expansion area and 3.4% in Tokyo during the last week of March. On a quarterly basis we recorded a HeatStick offtake share of 1.8% in the expansions area and estimate that this equates to a first quarter national market share of approximately 0.8%. The positive HeatStick offtake share momentum is a clear indicator that iQOS is resonating with Japanese adult smokers. Importantly we are seeing a steady increase in the proportion of iQOS purchasers who have predominantly or fully converted to it, reaching approximately 60% in February. In addition, I am pleased to confirm that yesterday we commenced the full expansion of iQOS nationally. Let me conclude my comment on regional performance with the Latin America and the Canada region where our cigarette volume increased by 2.4% in the quarter driven principally by Mexico, partly offset by Argentina. Regional market share increased by 1.1 points to 39.3% reflecting growth in the majority of our key markets. Marlboro had a very strong quarter with their share up by 1.2 points and volume growth of 8.5%. Our strong net revenue and adjusted OCI growth rates, excluding currency, were driven mainly by pricing in Argentina and Canada. In conclusion, our first quarter results were in line with our expectations with year-on-year performance adversely impacted by a difficult comparison with the first quarter of 2015. Nevertheless, the underlying fundamentals of our business continue to be strong. We are making exciting progress with the commercialization of iQOS which is demonstrated in particular by the steady weekly growth in HeatSticks' offtake share in Japan. Importantly, our iQOS conversion model is clearly working. We remain focused on generating strong free cash flow and continue to forecast full year 2016 free cash flow to be broadly in line with last year's level. The outlook for 2016 remains strong. To reflect currency movements, we are raising our 2016 reported diluted EPS guidance which, on a currency-neutral basis, continues to reflect the growth rate of approximately 10% to 12% versus 2015 adjusted diluted EPS of $4.40. Thank you, and I am now happy to answer your questions.
Operator: Thank you. We will now conduct the question-and-answer portion of the conference. Our first question comes from the line of Bill Marshall with Barclays.
William Marshall - Barclays Capital, Inc.: Hi. Good morning, or good afternoon to you guys. Thank you.
Jacek Olczak - Chief Financial Officer: Good morning to you. Hi.
William Marshall - Barclays Capital, Inc.: I just wanted to – first again on Indonesia a little bit. You talked about targeting double-digit profit growth in that market this year. When we think about Indonesia over the long term, is this – should we think about it a little bit differently where maybe it will be more of a profit growth market and less of a kind of volume revenue market going forward? Or is this just a one-time factor in 2016? And then maybe we get a little bit more volume growth in the out-years?
Jacek Olczak - Chief Financial Officer: Well, Bill, to be frank I'm sure am thinking Indonesia can have all three, i.e., can be a volume, revenue and a bottom-line OCI growth target. We still remain confident in the longer run, Indonesia total market can be in the growth rate over somewhere around 1%, 1% to 2%. We have said it on a number of occasions in the past that depends on the macroeconomic factors which may impact temporarily the purchasing power, et cetera. The market may have some slowdown, I think what we observed, that we forecast to observe this year, due to the – a bit of a – the softer – due to the softer economy, et cetera. Then Indonesia maybe go into some decline this year. But pricing remains strong. The cost outlook for Indonesia, I mean, it seems pretty positive. And therefore, we're very confident that this year as in the years in the past, I mean Indonesia, not only will it grow double-digit bottom line, but also, can remain a very significant contributor to overall PMI performance. So I'm very positive on Indonesia, both in the short and the longer term. But, as many developing economies, they might have some periods of a relative slowdown, and then as you know they will go to acceleration.
William Marshall - Barclays Capital, Inc.: That's great. Yeah. If you can do all three, I think that would be fantastic. And then just a quick follow-up. On Japan, just can you walk us through the decision not to apply for price increase on Marlboro?
Jacek Olczak - Chief Financial Officer: Well, I mean I think it's pretty obvious if you look at to what the price increase our key competitor has announced earlier this quarter. So we in some part are also reacting of – to the price moves announced or registered by others. So I think it's pretty obvious why we just selected that part of the portfolio.
William Marshall - Barclays Capital, Inc.: Perfect. Thank you very much. I appreciate it.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Vivien Azer with Cowen.
Vivien Azer - Cowen & Co. LLC: Good morning.
Jacek Olczak - Chief Financial Officer: Good morning, Vivien.
Vivien Azer - Cowen & Co. LLC: So, my first question has to do with the negative mix shifts that we saw in the quarter. While I appreciate the more muted price realization, the negative mix in particular in the EU comes as a little bit of a surprise, given that the momentum that we're seeing in Marlboro. So can you expand on that a little bit, please?
Jacek Olczak - Chief Financial Officer: Well, I think actually, if I talk historically, I mean, the EU had a relatively good mix, a relatively low mix. I think it's maybe there are some movements in timing of movements between our countries. I think the biggest challenge which we'll have to compete with, if you like, in the quarter was essentially coming, the lack of a pricing variance from Korea, and that's on a total PMI basis and obviously weighted quite largely on the Asia regions. If I would add a lack of the pricing – or extra gain from Korea, our revenue would be in a 4.5% growth territory and this is still despite a pretty challenging comp from Q1 over last year. So I think it's mostly the price which was driving the revenues and obviously also the bottom line there. And then obviously, you have a couple of comps which were coming from outside the EU region, that were coming mostly from the volume. I mean Russia, both total market and especially PMI performance, so they're completely different comps. And Indonesia and Asia also contributed.
Vivien Azer - Cowen & Co. LLC: Okay. That's helpful. Thank you. And then on iQOS, given the strong demand that you've seen in Japan and the delay in the national launch, which I guess occurred yesterday, how are we thinking about the incremental market introductions that are anticipated for the year? Will the strong demand in Japan perhaps delay some of the, I think it's 13 markets that you're targeting by year-end?
Jacek Olczak - Chief Financial Officer: Well, we targeted 20 markets to be present with iQOS on the city level, on the national level by the year-end. I mean, clearly the Japanese performance is – and I could say it like this: it comes with our expectations, and our expectations are very high and our expectations are rising as we speak. So clearly, the focus today is to satisfy the full demand in Japan. I would like to remind that we operating this year with not fully accessible capacity because the factory in Polonia, our greenfield construction will be completed somewhere towards the end of this year. But so far, I think our plans are absolutely valid for this year and we're very excited, not only by Japan. I mean, we have said on – I have said in my presentations also, very good results which we achieved so far in the French-speaking part of Switzerland, but that's very encouraging. And in all places which we have make iQOS available today, we approaching or actually exceeding the conversions rate, which we are – at this stage achieving in Japan. So, it's – it's a lot of fine-tuning of the conversion model, of the route-to-market, route-to-consumer, and I think we're on the very strong progress on this side. So we're very encouraged by the results.
Vivien Azer - Cowen & Co. LLC: Terrific. Thank you very much.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Matthew Grainger with Morgan Stanley.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Hi, Jacek. Good morning.
Jacek Olczak - Chief Financial Officer: Good morning.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Thanks. So, as we think about the cadence of profit growth and earnings growth this year, clearly we're still in a period of more accelerated rollout costs behind iQOS. I don't know if it's – I may be asking for too much detail here, but can you give us a rough sense for how material the step-up in investment was as a headwind to earnings growth this quarter? Or how it compares to Q4? And you mentioned in the release that the earnings growth profile could be more second-half-weighted than Q4-weighted. So just wondering if you could sort of help set expectations for Q2?
Jacek Olczak - Chief Financial Officer: Actually, you're always asking for lot of details, right? Look, let me put it this way, absent the iQOS partially comps but also increased investment, I guess the cost for the quarter would come about flat. Essentially that would be flat. So all the cost growth in the quarter you could – one could attribute it to the investment behind iQOS. It's obviously on ex-currency, always on ex-currency basis. To give a bit more light into how we see the quarters going forward, we still are to confirm that our outlook for the total costs for the year, and this is now all-inclusive again on ex-currency basis or conventional and RRP, Reduced-Risk Products on ex-currency basis, the cost outlook still remains at about 1% for the full year. So we'll have, obviously, some comps issues in the quarters. If you look at the pacing of our growth rate, if I take it on an EPS level, second, third, fourth quarter, look, as much as we would be explaining the difficult comps in the Q1 of this year, I mean, clearly we will all have a different situation, 180 degrees different situations in Q4 of this year. So obviously one should expect there quite a strong, very strong actually growth rate on EPS level in Q4. And in Q2 and in Q3, we will be going somewhere below obviously the guidance which we gave for the full year. This will very much also depend on the timing of some expenses, et cetera. I think revenue line is going be cruising closer to what we said is for the full year, so somewhere in a corridor of a 5% to 6% quarter this year versus the quarters of the last year. We should see the evolutions of our revenue. So it's much more the differences which we have in comps coming from the investment, partially behind the conventional, but very much obviously driven by the deployment of iQOS.
Matthew C. Grainger - Morgan Stanley & Co. LLC: All right. Thanks, Jacek. That's a good amount of detail. And just a follow-up on the EU, as we think about the growth outlook for volumes and mix in the region, how do you think about the potential for the favorable immigration impact that you mentioned to potentially support stable volumes over a longer period of time, or potentially positive volumes? Because it sort of continues to be more constructive on a volume level than we would have expected.
Jacek Olczak - Chief Financial Officer: Look, the way we look, I look at this – the EU region is that I still would maintain that all of our parameters staying equal, EU is in a sort, or should be in a sort of a secular decline of 1% to 2% per annum, okay? And I think obviously when you had the recovery of the illicit trade, which you had some – much of this pressure from the fine-cut products, some recovery from electronic E-Vapor products, electronic cigarettes, I mean that we could see that these trends could be better than the secular trend. And then, we all reading, watching the same news, and we all hear about the immigrations. I mean that these things are getting into a bit larger scale, at least recently. It's difficult to put a number, how much does this contribute to the volume fluctuations. But this will be difficult to deny at this stage at least that there is some impact of that fig. I mean, we recognize it – I recognized it in my remarks, but as much as I am willing, and you know me, on many occasions to give more details, I can't offer you a number. But there is some impact. Clearly there is some positive impact on the EU from immigration.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Perfect. Thanks again, Jacek.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Michael Lavery with CLSA.
Michael Lavery - CLSA Americas LLC: Good morning.
Jacek Olczak - Chief Financial Officer: Hi, Michael.
Michael Lavery - CLSA Americas LLC: You've mentioned that the comps outlook in Indonesia is favorable but there is a – increase in clove cost we're seeing, maybe around 20 or so percent. Is that adding any pressure or is that just because you're able to source it in ways that you're not exposed to as much of that, or, what's the outlook there? Is that something we should be looking – watching out for over the rest of the year?
Jacek Olczak - Chief Financial Officer: No. I think actually the cost in Indonesia if you take the – it's – what's in the market, it's somehow at the level or somewhere at the level of last year, you know, they're actually better off. And remember that what hits our P&L is the cost going through the – through the balance sheet for the inventories, right? So if you – obviously, for obvious reasons, we'll not disclose how long the inventories do we have but that impact is not immediately going through the P&L. It takes some while to impact our cost. But the input costs in general for Indonesia is at this stage pretty positive, I mean, a stable positive. So therefore it's another compounding factor supporting our thesis with Indonesia, our business in Indonesia can grow at a double-digit bottom line.
Michael Lavery - CLSA Americas LLC: Okay. That's helpful. And we've seen Gudang Garam take pretty aggressive pricing in late in the fourth quarter but then you're still seeing your share under some pressure in this quarter. And you've specifically mentioned some machine-made discounting. What's the pricing environment look like? Is it other competitors that are putting pressure on or were there price increases not maybe broad enough? Or can you just dissect a little bit some of your share moves and what you expect over the course of the rest of the year?
Jacek Olczak - Chief Financial Officer: Sure. I think everyone is – we don't see anything abnormal in the speed or frequency, if you like, of the pricing being taken in Indonesia. Obviously, with some positive adjustments due to the size of the – or relatively higher size of excise passed on – they'll pass on, which our industry was confronted this year. So I think as an industry, if I follow what the competition price moves are there, there's nothing really abnormal taking there. Obviously the prices are going a little bit higher due to this, as I mentioned, as a higher pass-on to be passed to consumers. Now the four extra stick price segment, of some four-stick discounting which has happened there, that segment of extra four sticks in the pipe which was sold at the price of the competitor's product with the four sticks less was therefore some time, I think, until the relatively late – okay, let's say maybe second half of the last year, the segment was at about 3% to 4% if I am not mistaken, size of the total market. So it is a segment that's not very sizable segment. We have our more sizable segments in the market. This accelerated I think due to some offerings or introductions from some competitors. We're not very active in that segment. I think our recent, the most recent reading of the size of the segment is somewhere in the range of 9%, maybe slightly above 9%. So it's growing. It accelerated the growth recently. I think in that environment when the consumer is confronted with the frequent price increases and maybe of a slightly higher nature than in the past, clearly some form of a price also discounting, I mean, it might be attractive to some consumers. So that puts obviously especially if you look into the quarterly shares, the monthly shares, they put a pressure on some of our propositions in the market. But – and I mean, overall I would think it's like a manageable situation.
Michael Lavery - CLSA Americas LLC: Okay. That's helpful. And then just lastly could we talk a little bit – could you talk a little bit about Australia? You mentioned share gains there but that sounds like there's still is negative mix and, of course, volume decline but are you seeing that as a – overall drag on profitability or are the share gains able to – and some pricing are able to give a lift? Or what's the outlook there – just in terms of how that's shaping up?
Jacek Olczak - Chief Financial Officer: Well, we are still comparing ourself to relatively late part of the – our – period of our performance in Asia – sorry, in Australia. I think Q4 2014, first quarter of 2015, however, we still were a little bit in a more – we're in a much more difficult situations in Australia. Australia is not a drag, neither nor in the quarter. No, I would think in our outlook for the full year, that sort of a drag would not even near the drag which we have had in the past periods. I mean the situation, I think the price increase at least, taking this at its face value as it is now, why the price announcement versus the excise increase, we'll have to see how it develops. But it seems that the dynamics in terms of the deep discount growth segment combined with these price increases from us and competitors might be a couple of steps in the right direction. So while I'm getting very cautiously more optimistic on Australia, but it's still, some time to go. But I think that the worst is definitely far behind us.
Michael Lavery - CLSA Americas LLC: Okay. That's helpful. Thank you very much.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Bonnie Herzog with Wells Fargo.
Bonnie L. Herzog - Wells Fargo Securities LLC: Hi, Jacek.
Jacek Olczak - Chief Financial Officer: Hi, Bonnie.
Bonnie L. Herzog - Wells Fargo Securities LLC: I just have one quick question first on the pricing in Japan. When do you expect to hear feedback on your application? And is this price increase factored into your guidance?
Jacek Olczak - Chief Financial Officer: I think we should expect something as always in Japan I think within 90 days, if I am not mistaken. That's about the time period when the MOF has to come back with a decision. And to be very frank with you, that price in Japan, the price increase of a 10 yen on the – on these two brands, is not fully factored in our guidance. But let me remind you that if the prices are approved, they will go into the market in the later part of the year. And as you know, guidance has a number of variable components, and this will – we'll see how it unfolds. But factually this pricing is not in our guidance.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. That helps. And then the EU Tobacco Products Directive, which will be implemented in May, just curious to hear from you some of the key issues and concerns? And then what are you doing to mitigate those? And then also the costs associated with complying, were those above your expectations, Jacek?
Jacek Olczak - Chief Financial Officer: Well, big part of this cost we have incurred in the Q3, very much Q4 actually of last year. I mean, perchance you remember we've had these – we make these decisions actually to preempt debt spending and some of these preparations calls – when it calls, to the product retooling machines, et cetera. It's a number of a cost buckets, which we'll have to cover, we decided already to take in 2015 – in the 2015. I think we were prepared. You know, each of the biggest challenges that obviously this directive does not hit due to the transition periods, which were put by the different member states, the transition periods are different in the different member states. So logistically it is quite an exercise. They might be, it doesn't have to happen, but it might be that there will be some distortions on a shipment level. I don't think it's going to obviously impact the consumption or retail uptake, but there might be some difference on a shipment level in the quarters going forward. But it's difficult, frankly speaking, to predict. There are a number of formats which will have to be replaced, one format has to cease its existence at retail level, has to be replaced by the same cigarette but in a different pack format, et cetera. So it's more of the logistic supply chain type of a stretch at this stage rather than anything else. I don't think structurally it's going to change our outlook in terms of our performance, both on the top and bottom line for the EU region.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. And then, in terms of Russia, I was actually hoping you could drill down just a little bit further on your business there. You took a price increase in that market. So I guess I'd like to hear the impact of that as well as then your expectation for possible share gains in this market? And essentially your outlook for the remainder of the year in terms of Russia?
Jacek Olczak - Chief Financial Officer: I mean, I will start with the total market. I mean, the first quarter, again, as many quarters of last year came pretty strong on a total industry size. I think 6% is clearly on the low side of one could expect from the market. We have a 20%, 23% on a weighted basis, price increases. So clearly, the elasticities are still on a – what I used to call attractive side, i.e., minus 0.3, minus 0.5, somewhere in this territory. So that's good. Market share, I mean, it seems that this year we are a little bit faster than competitions with rolling out the prices, or maybe actually competition is a bit slower versus us in lowering of the prices. It's presumably a more appropriate description of the situation. Look, Russia also compares this year versus pretty strong share advancement last year. So 20 basis points, 30 basis points sort of a share pressure. I mean, it doesn't really disturb us dramatically. I mean, that the more important it is that the total volume of the industry somehow seems on a stronger size, relative again to the price increases. In our portfolio – and the downtrading in the market, so our brands' performance and the downtrading in the market, I mean, it goes frankly speaking in line of – what we would be expecting. It is not – we don't see acceleration of a downtrading. You have this medium to value segment sort of one share point to – up to two share points year-on-year fluctuations or difference there. I mean, our brand's performing in their respective segments pretty strong. So I think the outlook in terms, again, on the profitability, which I guess is the most important at this stage, I mean, is pretty positive. And yes, we might have some sort of occasional share pressure, but it is more as I said also in my remarks, it's more the timing of whose products going to hit first the market with the price increase. Nothing structural.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. Thank you for that. And then just one final quick question on iQOS. I just wanted to confirm that you're on track to file the two applications to the FDA in the fall of this year?
Jacek Olczak - Chief Financial Officer: We're targeting to apply towards the end of this year. That's correct.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. Thank you so much, Jacek.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Judy Hong with Goldman Sachs.
Judy E. Hong - Goldman Sachs & Co.: Thank you. Hi.
Jacek Olczak - Chief Financial Officer: Hi, Judy.
Judy E. Hong - Goldman Sachs & Co.: So one, just going back to Japan, Jacek. I mean, the market share trend there continues to be soft, and just wanted to get a little bit more color, just in terms of your effort to improve cigarette market share in that market. And are you increasingly looking at that market with iQOS now more holistically and trying to kind of look at the total market share including iQOS? And in markets like Tokyo where your iQOS market share is pretty strong, is that where you also see a bit more impact on the combustible market share?
Jacek Olczak - Chief Financial Officer: Well, I mean we try to look at this stage of the – I guess the two product propositions separately. There are challenges which we are facing on our combustible business and we're trying to get the right portfolio of innovations into the market to address that problem. I think the launch of the Parliament Crystal Blast towards the end of first quarter, which is an operating initiative which we're bringing to address the pressure which we'll have in this new taste menthol category, the capsule product, et cetera. So by no means, we are refocusing our attention from a combustible to iQOS. Now, having said so, the story of iQOS is getting more and more exciting every time we look at the results from Japan. Now, I have to admit one thing; this is not that we are trying to mask somehow our performance in the conventional business. However, 0.8%, if I take the offtake shares from the places where iQOS is available today in Japan and I recalculate this to have an equivalent in-market sales market share to compare it to what we refer to on the conventional business, 0.8% in a quarter, knowing that there was a cannibalizations from my own portfolio and very much skewed towards Marlboro, I would guess if we just assume that half of that or close to half of that was for the cannibalization, clearly, iQOS already has an impact also on my conventional share performance. If I would just, as I said earlier, apply that or to use that number to explain the market share performance of Marlboro, about half of the Marlboro decline, I could – I should actually attribute to the iQOS cannibalization. It's a good cannibalization. However, this is what we might observe for some time. So, Judy, we're trying to address both conventional and both RRP, but we do have to recognize that it might be some of these interactions between both categories.
Judy E. Hong - Goldman Sachs & Co.: Okay. And then I had a couple of questions on FX. One is just if I look at Q1, the sales impact from FX in Europe was much more sizable than with the euro sort of decline on a year-over-year basis would have shown. So, I'm wondering if there's any sort of hedging you've started to do more on the euro side or if there was anything that I'm missing just in terms of FX impact on sales in Europe, in EU?
Jacek Olczak - Chief Financial Officer: No. I don't think, Judy, you're missing anything. We didn't do anything on the euro for the hedges which would have an impact. I think it's just – I guess it's just the timing. We always operate with a third of our quarterly numbers, but the end of the day, it's a sum of the parts of the monthly exchange rates which we use for the – for our P&L for our income statement. Maybe it's just the timing of – euro was pretty volatile, pretty dynamic in terms of the depreciation last year. Maybe it's just the comps between the year – between both quarters.
Judy E. Hong - Goldman Sachs & Co.: Okay. And then the other question on FX was just when I looked at your guidance for the full year, the $0.15 favorability, there's some favorability on the yen movement, but it seems like some of the hedging that you put on also limits some of that impact. So, can you just remind us where you were hedged on the yen and what that impact would be for the balance of the year if you sort of look at the effect of yen?
Jacek Olczak - Chief Financial Officer: Well, we had – well, at the beginning of the year, always when we give the hedge coverage, we're about a 70-or-so percent. So clearly, I mean, there might be a moment – and we always hedge, as you remember, 12 months to 18 months ahead. So, it's not 100% of the yen positions or cash flows which are hedged for this year, but a very, very significant portion of the yen projected cash flows are hedged. Maybe what's going to – what will help you is that some of the hedges are executed in the form of calls and put options, right, the collar option strategy, which not necessarily have to have an impact if we see the development of the year of the yen going outside the bracket. And only some of that is done for the forwards, okay? Forwards, obviously, you can't walk away. But with that collar options, you have some flexibility, so you can take an advantage of what is the spot rate can be.
Judy E. Hong - Goldman Sachs & Co.: Okay. Got it. And I guess presumably, then some of those strategies would benefit as you move into the first part of 2016 as the hedges roll off.
Jacek Olczak - Chief Financial Officer: Yes. Yes. Well, as I said, I mean, because we always look 12 months, 18 months ahead, there is already some portion of the 2017 expected cash flows from Japan for – in yen which hedged. But obviously, they hedge also at the rate which are more corresponding to the – some of them to the more recent relative strengthening of the yen.
Judy E. Hong - Goldman Sachs & Co.: Got it. Okay. Thank you.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our next question comes from the line of Chris Growe with Stifel.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. Good morning.
Jacek Olczak - Chief Financial Officer: Good morning, Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Good morning. I just have two questions for you, a bit of follow-ups from earlier questions. I want to ask first if I could, when I look at the price realization in Asia, there was a larger effect from the Korea price benefit a year ago than I thought. I guess it does suggest that there was even stronger pricing in that Asia region than what I had modeled given that it was positive in the quarter. I guess I just want to understand that the comparison factor on pricing, obviously, was one of the major drags in the Asia division. That should help show better pricing in Q2 going forward based on what we know today. Is that a reasonable assumption?
Jacek Olczak - Chief Financial Officer: It's a very reasonable assumption. You will still have a small, relative to the first quarter, small drag from Korea, but relatively not smaller than what we had in the first quarter. But the pricing in Asia in the quarter, okay, obviously masked by the Korea, but we had a very strong pricing in Indonesia, we had a pricing in Philippines, when we had a pricing in a few other locations. So, overall, I mean, Asia should be at a much better pricing level or price realizations level, which what you just saw in the Q1.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Sure. I just wanted to confirm that. Thank you. And then the other question I had was just in relation to the development of iQOS. And you've had this very strong development in Japan, but a slower development in countries like Italy and Switzerland, where it's been around about the same amount of time. And you talked about some – a couple of the undertakings by the company to enhance the development of iQOS, say, in Italy or Switzerland. I just wanted to understand, is that about spending more money? Are you doing more embassies or stores in those markets? Just what you're doing to try and boost the national expansion, if you will, and the adoption of the product in markets where it just hasn't developed at the same rate as Japan.
Jacek Olczak - Chief Financial Officer: I think we need to adjust for the marketing and the overall commercial environment which we have in Japan versus what we've had in Switzerland or Italy or many other places. And this is – covers the trade channels, what I call route to the customer, route to the trade, et cetera. So I think we're adjusting this one and trying to figure it out such a composition of the – all available to our blogs, which were the result. We've had manageable level of spending, if you like, versus the conversion rates which we can achieve. Now, Italy is – I think we're going to crack the Italy also this year. And I remain very positive on this despite the fact that for the couple of quarters, they're all – we're talking about the 0.2% market share. I mean that's not much of an issue I think, frankly speaking, in this stage. If I look what we have achieved and achieving in part of Switzerland and as you noticed, we, in some places, going deliberately very focused in order to nail down the model properly on the smaller territory, and then when we feel comfortable, we explode. I mean, let me remind you, I mean, we had, as you remember, the market shares conversions rate which we had at Nagoya at the time of the city test, right, of the test market. And no one at – if you were to look at that progression of the share development in Nagoya, you wouldn't figure it out that we can accelerate the conversions and the market share to the levels which we have in the 60% of Japan, including Tokyo and other main cities. So I think we're trying to get comfortable in the smaller territory that we know that we can amplify it and explode, and – or amplify the right components of our marketing mix, broadly marketing mix, and then we go to the national level. And it's actually – it's in a part of a, obviously, higher cost spend, higher investment, but more prudently invested into something which really gives you a proper result. So – and I am excited about Japan, but very excited about Switzerland, and I am sure we're going to demonstrate later on this year, what we can do in Italy as well.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. That was a very good answer. Thank you for your time.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: Our final question comes from the line of Adam Spielman with Citi.
Adam J. Spielman - Citigroup Global Markets Ltd.: Thank you for taking the question. I'd just like to come back to the question about what's driving the much better than historic volumes in the European Union. And you've obviously mentioned four factors, but I'm just wondering – and you've said it's really impossible or hard to quantify the impact from migration. But I guess what I'm trying to ask is what the evidence is, how good the evidence is of the impact from reduced illicit and whether – and what sort of evidence you have, and whether you can quantify this in any way. And also quantify the impact of reduced headwind from E-Vapor.
Jacek Olczak - Chief Financial Officer: Well, I think we get a better reading at the market or on the total region level when it comes to the illicit trade. I mean it's obviously always an estimate, well, because the methodologies were equally applied from year-on-year. I think we have a better comfort about saying that, yes, there is a contributions of the illicit trade. And that contributions goes in a, I guess, in a – well, it depends now versus what period, but you're talking about the few couple points of growth is coming from illicit trade. Now, you will have to zoom into Germany, which presumably has a much larger impact than, for example, UK when the illicit trade is still on the growth. Italy had good results. I mean, Southern Europe actually is doing better. As you know, the recent moves also over the last few months of some reinforcing the border controls or reintroducing, actually, the border controls in between that, some EU states, EU market and also outside, I mean, they clearly are another factor which also contributes to tightening the domestic tax paid market. I always give a example of Turkey, which I know is outside Europe, but Turkey has reduced illicit trade year-on-year by about 10 points, 11 points, which is about half. I mean Turkish market normally wouldn't be growing – or Turkish consumption, if you like, wouldn't be growing by 10% or 11%. We're talking about the industry tax paid volumes growing to this magnitude, and this is clearly the recovery coming from a 10 points, 11 points almost of the recovery from illicit trade. So, yes, you'll see the correlations. And – but I said to one of the questions earlier, it's more comfortable for us to talk about the illicit trade because there's quite a lot of data available or estimates available, and you can deduct with a high dose of a probability that this is a contributing factor. Immigration is more something which we hear about from a – reading the newspapers, et cetera. But clearly, there are movements in this location of population, immigrations, et cetera. In some places, I think they do have a factor, they do have an impact on the industry here.
Adam J. Spielman - Citigroup Global Markets Ltd.: And E-Vapor?
Jacek Olczak - Chief Financial Officer: And E-Vapor, well, if you look where the product was in some places like Italy, for example, a year or so ago, and you know how much was the trial, which at least temporarily took consumers from a conventional cigarette, and where these products are today, I mean they're cruising somewhere at the 1% or below even 1% market share in most of the places. I mean, clearly, those consumers get back to the conventional cigarette. So this again, you will have to go into market-by-market basis. What is happening, as you know, the e-cigarette category does not attract a lot of loyalty to the category itself. There's a lot of dual usage, dual consumption, most of the time, so far, leading to consumer turning its back to E-Cigarettes and coming back to the conventional product.
Adam J. Spielman - Citigroup Global Markets Ltd.: Okay. Thank you very much.
Jacek Olczak - Chief Financial Officer: Thank you.
Operator: That was our final question. I'd now like to turn the floor back over to management for any additional or closing remarks.
Nicholas M. Rolli - VP-Investor Relations & Financial Communications: Thank you very much. That concludes our call for today. If you have any follow-up questions, please contact the Investor Relations team. We're in Switzerland. Thank you, again, and have a great day.